Operator: Welcome to Stantec's Fourth Quarter and Year End 2022 Earnings Results Webcast and Conference Call. Leading the call today are Gord Johnston, President and Chief Executive Officer; and Theresa Jang, Executive Vice President and Chief Financial Officer. Stantec invites those dialing in to view the slide presentation which is available in the Investors section at stantec.com. Today's call is also webcast. Please be advised that, if you have dialed in while also viewing the webcast you should mute your computer as there is a delay between the call and the webcast. All information provided during this conference call is subject to the forward-looking statement qualification set out on Slide 2, detailed in Stantec's management's discussion and analysis and incorporated in full for the purposes of today's call. Unless otherwise noted, dollar amounts discussed in today's call are expressed in Canadian dollars and are generally rounded. With that, I am pleased to turn the call over to Mr. Gord Johnston.
Gord Johnston: Good morning, and thank you for joining us today. We're very pleased to report record Q4 and full year 2022 adjusted earnings per share of $0.82 and $3.13 respectively. Our results reflect a solid execution of our multiyear strategy, and clearly demonstrate the resilience, growth, and demand that we're seeing for our business. The outperformance of our guidance for the year was attributable to a very solid fourth quarter, where we achieved double-digit organic net revenue growth above our expectations. For the full year, we generated an all-time high of $4.5 billion in net revenue. All of our regions and business units delivered organic net revenue growth in the high single to low double-digit range, demonstrating the strength of our diversified business model. This also shows how well positioned we are to address the trends of increasing investments towards aging infrastructure, re-shoring of domestic production, and climate change. Particularly notable, Environmental Services net revenue grew by almost 50%, primarily through acquisition, but also from nearly 10% organic growth. And importantly, the top line increase of 23% was exceeded by bottom line growth of 29%. Looking at our results by region. Both public and private investment continued to drive high activity levels in the U.S. In 2022, we grew U.S. net revenue by 26% overall, with over 9% organic and 13% acquisition growth. Our work on large-scale water security projects in the Western U.S. helped drive double-digit organic growth in Water. In Buildings, we continue to see activity levels rebound, with investments flowing into healthcare, civic, industrial and the science and technology sectors. Energy & Resources had strong organic growth, with acceleration of activities related to renewable energy and mining projects, as well as reservoir and dam projects, all related to the energy transition and energy security. We also delivered solid organic growth in Infrastructure from work on projects in transportation as well as in industrial and residential land development activities. Our results reflect how well aligned our U.S. business is with the major trends and government funding sources available. Canada continued to perform very well, with sustained year-over-year growth that exceeded our expectations. Net revenue was up almost 8% organically for the year. Similar to the U.S., both private and public spending was robust in Canada. We had solid performance in Environmental Services, with ongoing demand for permitting work in archeological services, power transmission and distribution, and energy transition work continued to spur growth in Energy & Resources. Our Buildings Group continued to drive growth with projects in healthcare and mixed-use commercial. And Infrastructure captured opportunities in community development in Western Canada, bridge work across Canada and in recovery efforts associated with the flooding in British Columbia in late 2021. In Global, we generated over 35% net revenue growth, 11% organically and 28% from acquisitions. Our industry-leading Water business continues to be a significant pillar for us, capturing long-term framework agreements in the U.K., Australia and New Zealand. We saw strong demand for our services and community development in mining, driven by strong pricing for metals, and in environmental services for fieldwork. We are exceptionally pleased with each of our regions and business units, which are all benefiting from the themes that we've been discussing. Beyond our excellent financial results, I'd like to express how proud I am of our achievements and commitment to sustainability and enhancing our communities. We were recently provided with great recognition from Corporate Knights as we were ranked in their Global 100 most sustainable corporations in the world. Out of nearly 7,000 corporations at Corporate Knights reviewed, we were ranked first among our peers and #7 overall. We've now been included in the Corporate Knights Global 100 for four consecutive years. I'll turn the call over now to Theresa to review our financial results in more detail.
Theresa Jang: Thank you, Gord. Good morning, everyone. Starting with our Q4 results, we had an exceptionally strong finish to the year, which drove our full year results to outperform our expectations. We grew gross revenue by 28% to $1.5 billion and net revenue by 23% to $1.1 billion. Organic net revenue growth was 10.6% for the quarter, with strong growth achieved in each of our regions and business units. Canada and the U.S. were particularly strong, as we benefited from a longer field season in Canada due to [milder] and typical weather and building momentum in the U.S. where several business units achieved over 20% organic growth for the quarter. Project margin was very solid at 54.9% and adjusted EBITDA reached 17%, a 150 basis point increase over Q4 2021. This drove fourth quarter EPS to $0.66 compared with $0.15 in the prior year and adjusted diluted EPS of $0.82 compared with $0.57 last year, an increase of 44%. For the full year 2022, we generated gross revenue of $5.7 billion and debt revenue of $4.5 billion, an increase of 24% and 23%, respectively. Project margin was a solid 54.2%, a 20 basis point increase. And adjusted EBITDA increased by 26% to $724 million. We achieved our highest ever adjusted EBITDA margin of 16.2%, and this is at the high end of the range we set for 2022. We also advanced our 2023 real estate strategy. In 2022, we achieved approximately $0.34 per share of cost savings relative to our 2019 real estate costs, largely achieving our 2023 target of $0.35 to $0.40 a year early. We estimate that on a pre-IFRS 16 basis, these savings would have increased adjusted EBITDA margin by more than 110 basis points. In terms of square footage, we have thus far reduced our footprint by 28%, also largely in line with our target of 30% from a 2019 baseline. As a result of our strong performance, our full year diluted EPS reached $2.22, and our adjusted diluted EPS was $3.13. Both of these are also record high with respect to increases of 23% and 29%. Operating cash flow for the year came in at $304 million and levered free cash flow was $76 million. DSO at the end of December was 81 days, a five-day reduction from the third quarter. As we expected, with the completion of Cardno financial migrations, cash flows began to normalize in the fourth quarter of 2022, which was moderated by stronger than anticipated revenue growth in the fourth quarter, driving additional net working capital investments. This also brought our net debt to adjusted EBITDA down to 1.6x, which is in the middle of our target range. We closed the year with adjusted ROIC of 10.5%, driven by stronger than anticipated Q4 earnings and reflecting a 20 basis points increase over 2021. With that, let me turn the call back to Gord for our 2023 outlook.
Gord Johnston: Thanks, Theresa. At the end of 2022, we had $5.9 billion in backlog, an increase of 15% year-over-year, 10% organically, and which represents approximately 12 months of work. Our backlog does not yet include any meaningful contribution from U.S. stimulus spending, but we expect this to provide further tailwinds in 2023 and beyond. On the strength of our backlog and as momentum builds for investments spurred by government stimulus around the world, we feel very confident that 2023 will be another strong year for Stantec. Even with the high comps from 2022, we expect to deliver strong organic net revenue growth in the range of mid- to high-single digits. Looking now to the U.S. with over 50% of our revenues generated in the U.S., we expect this region to continue as a key driver for 2023. After delivering almost 10% organic growth in 2022, we expect another solid year, with organic growth to be in the high single to low double-digits. Funding from the IIJA is expected to be slower in the first half of the year and to accelerate in the second half, bolstering our Infrastructure business unit. Buildings continues to see great opportunities in both healthcare and adaptive reuse. In Water, increasingly frequent and extreme climatic events are driving investments in resilient infrastructure to protect against flooding, hurricanes and storm surges. Investments spurred by the IRA is expected to accelerate renewable and other energy transition projects, like the Qcells project that we announced last week. At $2.5 billion, this is the largest solar panel manufacturing investment in U.S. history, and passage of the IRA was a major driver in helping this project move forward. The Qcells project is also a prime example of the growing trend towards re-shoring production and de-risking supply chains, bringing production closer to demand. Another great example of streamlining supply chains is our recent announcement on being selected as the prime consultant on the multibillion-dollar World Logistics Center project in California. Stantec is ideally positioned to provide multidisciplinary expertise to these major projects, and we're confident in the opportunities that they'll bring. After a very strong year in Canada, we expect continued high levels of activity in 2023. Organic net revenue growth is expected to moderate relative to 2022, to the low single-digits. Specifically, we see our Water business continuing to grow with several major projects ramping up. We expect continued strong demand to support the energy transition and the need for increased community development. And we expect high levels of activity in our Environmental Services and Buildings Group to remain stable over the year. Our Global business has meaningfully grown in recent years, both organically and through acquisitions. And we see ongoing strong demand in 2023 and anticipate organic growth to be in the mid to high single-digits. In the U.K., Australia and New Zealand, our Buildings business is expected to have strong organic growth due to the need for healthcare, science and technology and commercial mixed-use development. Growth will also be driven by high levels of activity in our water business where regulatory drivers are a strong factor. We also expect to see increases in community development in the U.K. where we're one of the top three planning consultancies. With a long lead time for development and permitting in the U.K., this sector continues to push forward. Transportation activities will lead to growth in Australia as well the raising of dams, mining, and overall energy transition initiatives. Overall, we expect to drive another solid year of net revenue growth. The 7% to 11% range shown here will come primarily from organic net revenue growth. It also includes some contribution from the acquisitions we completed in 2022, but no other acquisitions are factored into this outlook. In 2023, we're targeting an adjusted EBITDA margin between 16% and 17%, and our goal is to deliver adjusted EPS growth between 9% and 13% over 2022. Further gains may come from M&A as our M&A pipeline remains full, and we have the balance sheet strength to capitalize on opportunities that fit strategically for Stantec. With a favorable market backdrop and engaged workforce, a full M&A pipeline and a healthy balance sheet, we're very optimistic for 2023 and the years ahead. And with that, I'll turn the call back to the operator for questions. Operator?
Operator: [Operator Instructions] And today's first question will come from the line of Jacob Bout with CIBC.
Jacob Bout: One to square 2023 guidance with your backlog in the fourth quarter. So specifically in the U.S., it actually -- the U.S. backlog actually dipped quarter-on-quarter, but you're guiding to some pretty solid organic net revenue growth. So hearing your commentary, is this kind of a first half, second half type story? Maybe just a bit more detail on the flow of the IIJA, the [$1 trillion] plan projects. Do you expect that to ramp second half, I think, is what you said?
Gord Johnston: Yes, absolutely. The IIJA funding -- we're starting to see clients putting out proposal calls now. We do have a little bit of that work already in the backlog, and we are generating revenue from it. But we're not actually -- a couple of things about the U.S. backlog, not concerned about that at all. Certainly, our -- the U.S. backlog did drop a bit in Q4. But we had 13.5% organic growth in the U.S. in the quarter. So we're drawing down that backlog. I think you would have seen the same in Global, that our backlog actually dropped a little bit in Q4. But again, not concerned. Q4 is always a bit of a lower quarter for us for backlog growth. And I think that, coupled with the extremely strong organic growth that we had in Q4, naturally drew that backlog down a little bit. But as we talk to our business leaders, as we look at our pipeline of opportunities, we're not concerned with the backlog, and we feel very solid with our projections for 2023.
Jacob Bout: And then my second question is just on the reduction of the real estate footprint. You're saying you accomplish your 2023 targets and -- or essentially you accomplished that. How far do you think you can take this? It sounds like you're around 28%, you're targeting 30%. Can you take it to 35%? Or how are you thinking about that right now?
Theresa Jang: Yes. So we think 30% is achievable. And again, that has been based on the footprint we had back in 2019. So that remains the target. As we begin our work on the next phase of our strategic plan, we are now starting to evaluate what else is possible, given acquisitions we've done in recent years, but also considering office occupancy and what the landscape looks like for real estate in various locations. So, I do think that there is -- more is possible, but that will come in the form of our -- kind of our next strategy for optimization.
Operator: Benoit Poirier with Desjardins.
Benoit Poirier: Just looking at your organic growth outlook by region. It remains pretty bullish across the board, and I would expect the U.S. Infrastructure, [Building] and Water program to bring momentum for the foreseeable future. But how should we be looking at your ability to raise margin beyond the 16%, 17% level that you assume in 2023?
Theresa Jang: I think the 16% to 17% remains an appropriate target for us. I've always said that there are -- there's not one thing that -- [$1] return that will give us increased margin as many things being done right all the time. What you saw in the fourth quarter of this past year was increasing utilization, which is always one of the best ways for us to improve our margin. And so, we do feel good about achieving that range again in 2023. But again, there's always -- and [I was] sort of pushing against that, whether it's inflationary impact on our overall cost structure and so on. And so, we have to remain pretty diligent and focused on keeping our costs down and ensuring that we are as highly utilized as possible. And so, I think that, that is the right range for us.
Benoit Poirier: And maybe could you talk about your ability to staff, given the strong demand that you're seeing right now?
Gord Johnston: Yes. So one of the things that -- as we went into the global pandemic, one of the things that we had stated was that we wanted to be -- continue to be a net attractor or a net importer of talent during these periods of uncertainty. And so, we can say now that for full year 2021 and for full year '22, we hired more staff than who left us through voluntary resignations. And so, we do continue to build the backlog of -- sorry, to build our headcount to service that. And you saw a little bit of that in Q4 due to the high organic growth rates. In addition to that, we're working hard with our innovation groups to look at how we can use digital products, to generate more revenue per employee. And then thirdly, we're looking to continue to expand our growth and our integrated delivery centers in both Pune, India and in Manila, in the Philippines. So I think there's a lot of different levers that we're looking to use to continue to service that backlog that we've got.
Benoit Poirier: And a very quick one, last one. Just in terms of backlog, given the big announcement that we've seen over the last couple of weeks with Qcells and the World Logistic center, would it be fair to expect or what kind of backlog could we expect in Q1 2023 just on the back of these announcements?
Gord Johnston: We do think that our backlog in Q1 will certainly increase over where we were in Q4 of 2022. But those aren't the only jobs that are coming in. We've acquired some additional jobs, new projects in Europe and in other regions as well. So we do expect that the overall backlog in Q1 will be up over Q4 last year.
Operator: And the [next question comes from] Yuri Lynk with Canaccord.
Yuri Lynk: Gord, I don't recall Stantec putting up sequential EBITDA margin improvement in the fourth quarter versus the third, which is what you did at the end of last year. Was there anything -- I know you came out on the top end of organic growth. And is that the reason? I mean, it was better utilization? Or was there anything noteworthy in the fourth quarter that would have driven the margin up, or we normally see it decline sequentially? And in conjunction with that, I mean, your guidance kind of implies that Q1 and Q4 will be bigger contributors than I think in the past. So is there a change in your earnings profile?
Theresa Jang: Yes, Yuri, maybe I'll take a crack at that. So Q4 EBITDA certainly was, I would say, atypical in terms of its increasing relative to Q3. And so, I think a couple of factors. You're right, increasing utilization certainly played a role in that. And again, we point to the longer field season we had in Canada, and certainly in the northern parts of the U.S. as well where winter didn't show up for a while. It allowed us to stay more highly utilized for longer. And as we've been saying really throughout 2022, we were expecting to see a ramp-up of utilization in the U.S. as these projects kind of got going and started to reach that part of the cycle where we have many more of our workforce working on those projects. And so that's in part of what we saw as well. And then beyond that and trying to keep our cost down, we didn't have a big impact on our share-based comps, which historically has had a bit of a revaluation bump and has caused that expense to go up in the fourth quarter. We didn't see that this year. So a couple of things like that, that really drove it. And as far as what we expect -- sorry, there's one more thing that comes to mind in Q4, that is a bit unusual, and it relates to the uptake on our employee benefit costs, where year-over-year, it was actually very similar. But for whatever reason, uptake was higher in the first three quarters of the year and lower in the fourth quarter, and that having a bit of an impact on a quarter-over-quarter basis. So when we look at Q1, Q4, which is looking to be a little bit higher than what we've traditionally seen, still, well, are expected to be slightly lower quarters than the second and third quarter. Some of that is just our growing global footprint where seasonality is less of an issue. And I think we're seeing the effects of that. And again, just continued levels of activity that we're seeing in the U.S. that will come from these various lending sources. So that's the primary driver for the slight shift, I would say, in the seasonal pattern.
Yuri Lynk: And my follow-up question, just to Gord. You talked about the bookings in the backlog. Obviously, you burned a lot in the quarter. I get that. But the absolute level of bookings was well below what we've seen in the last four quarters. So anything to call out there in terms of booking activity or maybe any more of a cautious stance on behalf of your clients?
Gord Johnston: Yes. No, not at all, actually. I think it's -- a lot of it is just seasonal type work. Things are a little bit slower and getting -- people getting things papered in the quarter. So I do think that we'll see that rebound here back in Q1. We've already got a number of significant project announcements in our different regions. So yes, no concern at all with that.
Operator: One moment for our next question. And that will come from the line of Devin Dodge with BMO Capital Markets.
Devin Dodge: I want to come back to one of your earlier comments. You've made good progress on expanding the workforce in 2022. So do you expect a similar level of net additions in 2023 in order to meet that mid to high-single digit or growth in your guidance? And can you touch on maybe the general labor environment in terms of availability and the level of wage inflation that you're seeing?
Gord Johnston: Right. So yes -- so we are, of course, active and continue to actively hire. I think another thing that we've seen is that voluntary turnover rates have begun to stabilize. So we're not losing as many people there. I think anecdotally, we also see that we continue to be between 2%, 3%, even 4% below many of our competitors in terms of voluntary turnover rates. So that's a positive. We also are being very fortunate in the number of people that we're able to onboard. And what's interesting is that both at a junior level, at an entry level, but also at very, very senior levels, we're having, we're attracting -- because of the strength of the brand and some of these big project awards that we've brought in the door, we're getting some very, very senior people joining us for our competitors as well. So we're feeling good about the hiring. But again, in addition to the hiring, we're seeing the benefits of that innovation program, as we talked about and also our integrated delivery centers in Pune and Manila. Do you want to talk about wage inflation?
Theresa Jang: Yes. So what we had established for our overall salary increases this year was in the sort of 4% to 5% range. So certainly higher than we have seen in past years. But that's what we've incorporated into our salaries and rate effective Jan 1.
Devin Dodge: And then maybe another question just for Theresa here. On working capital, we saw good progress on DSO in Q4, but still a fairly meaningful working capital usage in 2022. Just wondering how we should be thinking about working capital as we look out to 2023.
Theresa Jang: Sure. So yes, we did see DSO come down as we expected. And I think that when you look at our working capital and how it shifted from, say, Q3 to Q4, you saw a meaningful progression where it moved from ithin the AR, right? That to go from within the AR and then the cash comes in the door. And so that is the movement that we saw that I think is very encouraging and tells me that we are -- again, we're on the right track. So we still are targeting a DSO level of less than 80 days -- or 80 days or less, I should say. And that remains an appropriate target for us and so I think that, that will start to see, again, the working capital continue to normalize as we go through 2023 here.
Devin Dodge: Okay. So should we expect working capital to be a source of funds in 2023?
Theresa Jang: Sorry, I just missed the last part of your question. The sound is not great, unfortunately.
Devin Dodge: Working capital, should it be a -- are you expecting it to be a source of cash in 2023?
Theresa Jang: Sorry, am I expecting working capital to be -- I'm really sorry, the sound on the speakerphone is really terrible.
Devin Dodge: Is it a source of cash or use of cash in 2023?
Theresa Jang: Well, I mean it ought to be a source of cash given what we're expecting. The only reason I'm hedging on that a little bit is, of course, it's going to depend on the rate of growth. And as you grow, it requires a greater investment in working capital. And so I would -- maybe the right way to say it is, often being equal, it should be a source of cash. But if we continue to grow at a rapid cliff, you might see it more neutral just based on the need to continue to invest in net working capital as the revenue grows.
Operator: One moment for our next question. And that will come from the line of Michael Tupholme with TD Securities.
Michael Tupholme: I guess first question is just regarding the organic net revenue growth outlook. So calling for fairly solid organic growth in 2023 in the mid to high-single digit range. Can you talk about some of the puts and takes that would lead you to the higher end of that range versus the lower end of that range? And then can you also touch on how you see organic growth in 2023 looking across your various business units?
Gord Johnston: Sure. So there is some -- we talked about some of the different regions, U.S. organic growth in the high single to low double digits. And that's off a pretty strong comp this year already. But when you look at the opportunities that we're seeing there, we talked about Qcells supported by IRA. There's other opportunities like that, that are -- we continue to be in discussions with. Certainly, the CHIPS and Science Act continues to drive semiconductor opportunities, and we're in discussions on a number of those as well right now. And then, of course, the big one is the IIJA and the support to that, that's going to get to infrastructure overall. So really, a big part of -- as we look at organic growth next year, all the backdrop is there, but some of it is really just how fast that similar spending starts to flow, how fast the clients can get those proposals out, how fast we can get working and generating revenue. So we're working with a number of clients now on -- as they're beginning to position, but that will be -- that will certainly have an impact there. And then when we look in Canada, good opportunities here in Canada off a high comp as well, but we don't see that same level of general support in Canada. So we see continued solid growth there, but we've guided to that low single digits globally, though we see great opportunities, and we're guiding to the mid- to high-single digits off already very strong 2022. And we're looking certainly at opportunities in Water in the U.K., Australia and New Zealand, as we've talked about. Interestingly, in the U.K., we're beginning to see some re-competitions coming out for AMP8. And we see great opportunities where we feel like we're positioned very, very well. So I think overall, we're feeling really good about 2023 and our guidance.
Michael Tupholme: And I know some of this touches relates to some of the government programs and spending in the U.S. But are you as bullish on the outlook for the broader earth environmental energy transition-related work that -- as bullish as you have been in the past on that front?
Gord Johnston: Absolutely. A lot of the energy transition work, again, will be supported by IRA. But even absent that, , in other regions around the world, we're seeing a lot of interest in solar and wind, pump storage and so on. So yes, we're very, very positive on both what that means for our environmental business, but also our larger design-focused business as well.
Michael Tupholme: And then you mentioned just briefly at the end of your prepared remarks that you do have a full M&A pipeline. I know you typically get asked about this in one way or another every quarter. But is it possible to expand on that a little bit, perhaps talk in a little bit more detail about what the pipeline looks like, where you're most focused right now as far as acquisition opportunities? How active you think you might be this year and what you're seeing in terms of valuations?
Gord Johnston: Yes. So we see great opportunities for M&A activity really in all of our regions: Canada, the U.S. and Global. And we're looking at -- and we're always talking to firms that are both at various sizes, smaller firms, larger firms, different lines of business. And sometimes, it's a bit lumpy, and we have to see what firms like come available, when we can get our valuation to coincide. So we're always in different levels of conversation with firms around the Global. But we certainly are hopeful that there will be some things that we'll be able to transact here in 2023.
Michael Tupholme: Sorry, and just one follow-up on that, Gord. Again, I know it's hard to predict what opportunities will look like. But are you more focused on the smaller and medium-sized opportunities? Or should we expect that there's a possibility of something on the larger side as we saw with Cardno, for example?
Gord Johnston: Yes. There's some very solid opportunities, both in that small to medium size that we're always engaged with, but also from a larger perspective. And I think that what we've seen through Cardno is that we feel we're very comfortable taking on a firm of that size or larger, and successfully integrating into Stantec. So we're absolutely looking at those firms as well.
Operator: One moment for our next question. And that will come from the line from Frederic Bastien with Raymond James.
Frederic Bastien: My questions revolve around the most -- your most important asset, which goes on [at night], every day. I appreciate that attracting and keeping talent is always a top priority for Stantec. But can you comment on how that might have changed in the past 12 months, specifically? Is labor availability getting better? And are you seeing some of the cost pressures that you were experiencing maybe a year ago, getting better or easing?
Gord Johnston: Yes. So a couple of things there. Certainly, you're right. Our primary asset is our people. And we want to ensure that there -- that all of our Stantec employees are engaged. They feel connected to the Company and our long-term growth plans, and we feel really good about that. But from a labor availability perspective, we are seeing greater opportunities there. Certainly, as we continue to grow our digital product offerings, we're seeing with some of the reductions in some of the tech companies, there are additional very, very strong resources that are available in that space. But overall, I mentioned that earlier that, both from a junior employee perspective, but also at very, very seasoned people who often will bring teams with them, we're having great success in attracting those people.
Frederic Bastien: And in some ways, that's the best -- that's your best acquisition strategy really, is to be able to recruit people for nothing really. I would say nothing, but it's a different cost,. Now when discussing with potential targets, are you finding that their expectations are getting -- are they getting more reasonable given the volatile environment that we're in?
Gord Johnston: Yes. It certainly is still a competitive environment for talent, but we are seeing people's expectations moderate a little bit. We're not seeing some of the people coming to us as often with 20%, 30%, 40% salary increases, because -- a request for that, because other firms aren't offering those anymore. I think we're seeing some moderation there.
Operator: One moment for our next question. And that will come from the line of Sabahat Khan with RBC Capital Markets.
Sabahat Khan: Just, I guess, a question on kind of the puts and takes in terms of EBITDA for 2020. It looks like in Q4, gross margin was a little bit down, but more than made up by SG&A. Just wondering how we should think about 2023? Should we just look at the full year run rate for those two metrics as we think about '23? Or was there anything in Q4 that we should keep an eye on that might continue as it relates to kind of those two line items?
Theresa Jang: Yes. So I'll start by saying that for -- broadly, when we think about ranges for project margin or gross margin, that 53% to 55% is the right range for us. It's going to move around a bit based on our project mix. And of course, we are kind of in a nice spot now where we can be a little bit more selective. And I think that's why you've seen that margin move up a little bit year-over-year. And so it's still our focus in terms of project delivery, project margin in that 52% to 55% range. And EBITDA, as I said earlier, in that 16% to 17% range is the appropriate target for us. So in Q4, there were a couple of things that were a bit atypical. I would say, particularly compared to Q4 of 2021. So in 2021, in the fourth quarter, we had increased share-based comp. We had onerous lease costs that were higher than we had this year. So a couple of things like that, that made the admin and marketing as a percentage of net revenue higher in 2021 than in Q4 of 2022. Maybe when you look overall, though on a year-over-year basis, that admin and marketing percentage was actually quite consistent at around 39%, maybe 39%-plus a few basis points. So again, we like to think of that as being in that 37% to 39% range, excluding unusual things like onerous lease costs and that kind of thing. So that, again, is what will drive to that 16% to 17% EBITDA margin.
Sabahat Khan: And then just, I guess, one on the regions. It sounds like the U.S., obviously, a lot of bigger picture tailwinds. Maybe if you could just provide a little bit of color on Canada. Maybe a bit more color by end market, which ones do you expect strengthen this year versus the ones that might be tougher comps? And maybe what are the either the regions or the bigger funding mechanisms that are driving demand in that market? Just a bit more color there?
Gord Johnston: Yes. So we see some great opportunities still in Canada without the question. Our ES group had a really -- our Environmental Services group had a really strong year in 2022. We expect that to continue in 2023. A lot of environmental work, a lot of permitting work, a lot of archeological work. So that's very, very strong. Our community development group, we see to be very strong as well. It's interesting -- I was meeting with some leaders in the overall residential development market several weeks ago in Toronto. And as we talk about -- over the last decade, on average, in Ontario, we brought about 70,000 residential properties to market on an annual basis. But going forward, with the immigration commitments that the government has made for the next 10 years, in Ontario alone, we'll need up to 150,000 residential properties per year. And so strong, strong long-term backdrop for affordable housing, additional properties there. And then certainly, our Water group, I think you're going to see this year very, very busy. We've announced a couple of very, very strong projects that we've got before in Ontario and in Saskatchewan and certainly in British Columbia. So we feel really good about that. And then on the Building side, lots of health care work ongoing. So we -- I think it's pretty broad-based really across the end markets that we feel good about Canada. But we don't see that sort of approaching double-digit mid -- sort of high to single to double-digit growth like we see in the U.S. Canada is going to have a good year, but it will -- but from our perspective, we don't think it will be as strong as the U.S. will be.
Operator: One moment for our next question. It will come from the line of Maxim Sytchev with NBF.
Maxim Sytchev: Most of the questions have been asked, but I just wanted to circle back to, obviously, the amount of people that you guys are hiring right now. I'm curious to hear if maybe you change some onboarding practices, just to make sure that people get up to speed as soon as possible? Just any comments there. That's it.
Gord Johnston: Yes. No, absolutely right. And so, from an onboarding perspective, we're always looking to how can we make that more efficient. There are certain things that we need to do as we bring people on, welcome them to ensure that they feel part of the Stantec enterprise. But then it depends also on where they are in their career progression. One thing that we did mention is that we're in addition to hiring at that junior intermediate level that we've been very successful over the last couple of years. We're also hiring at the more senior level. So the more senior folks can come on and hit the ground a little bit quicker. We have to teach them the Stantec systems and so on, but they're ready to go. Whereas the more junior folks need a little bit longer typically to ramp up because they need to -- they have to understand the workforce, understand what our expectations are of them. And so, we are looking to bring these folks on in larger groups, which allows us to be more efficient in those onboarding processes.
Maxim Sytchev: And so, maybe I'll squeeze in one more for Theresa. In terms of the kind of the approach for share buybacks, is it fair enough that right now, sort of the focus is on organic investments and M&A?
Theresa Jang: Yes. I mean the philosophy really hasn't changed, Max. We will always look to share buybacks to the extent that it's opportunistic with the priority on M&A, as it has been historically. So a couple of things as well with the share buyback tax that was going to be in effect in Canada, starting next year is something longer term that will again kind of impact the overall valuation metrics when we look at share buybacks. At this point, we don't believe that the new rules in the U.S. will affect our share buyback in 2024. But again, philosophically, M&A is the first priority, share buybacks when the opportunity makes sense.
Operator: And speakers, I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Mr. Gord Johnston for any closing remarks.
Gord Johnston: Well, great. I just want to say thanks very much for -- everyone for joining us today. And should you have any follow-up questions, well, please feel free to reach out to Jeff Newkirk in our IR group. And have a great day, everyone. Thanks very much.
Theresa Jang: Thank you.
Operator: Thank you all for participating. This concludes today's program. You may now disconnect.